Richard R. Hough III : Thank you. Good morning and thanks for joining us for the first quarter of 2022 results and call. We concluded this quarter with the celebration of our 20th anniversary in business. We actually opened the first day of the second quarter in 2002. Despite the volatile economic conditions and markets, we're pleased with Silvercrest continued stable progress over time. Our tenure has proven that the firm has the professional resources, ability, and strategy to execute through difficult periods, to build a sustainable and enduring business. Silvercrest discretionary assets under management, our AUM, which drives revenue, increased to $23.8 billion from the first quarter of 2021, which was a year-over-year increase of 8.7%. Primarily due to the volatile equity markets during the first quarter of 2022, Silvercrest discretionary AUM declined by 5.2% from December 31st 2021, which also led to a quarterly decline in revenue and adjusted EBITDA. Along with the continued progress in growing AUM year-over-year, the firm's revenue increased 7.3% from Q1 2021 with a $33.5 million in revenue for the quarter ended March 31st, 2022. The firm's quarterly adjusted EBITDA was approximately $10.3 million or an annualized adjusted EBITDA run rate of $41 million and grew year-over-year by 6.2%. Adjusted diluted earnings per share increased 7.1% year-over-year to $0.45 per adjusted diluted share, and the firm's first quarter of 2022 adjusted EBITDA margin was 30.6%, which is a consistently high number for Silvercrest. Silvercrest high net-worth business grew its relationships during the first quarter and we're pleased with incoming opportunities. Our net flows were muted as compared with historical norms. Silvercrest Institutional Equity new business was solid during the first quarter and our opportunities remain excellent across Silvercrest suite of proprietary equity capabilities are sub-advisory relationships continue to add assets during the first quarter of 2022. Market volatility and uncertainty have created long-term opportunities that typically benefit the high quality of Silvercrest 's capabilities. We have a lot to accomplish to continue building the premier Wealth and Asset management boutique in the nation and we embrace those challenges that comp will change. On May 3rd, the company's board of directors declared a quarterly dividend of $0.17 per share of Class A common stock and the dividend will be paid on or about June 17th to shareholders of record, as of the close of business on June 10th. With that, I'll turn it over to you, Scott, for the financials, and then we'll take questions. Thanks.
Scott A. Gerard: Thanks Rick. Again, it's disclosed in our earnings release for the first quarter discretionary AUM as of March 31st of this year was $23.8 billion and total AUM as of March 31st of this year was $31.2 billion. Revenue for the quarter was $33.5 million and reported consolidated net income for the quarter was $12.4 million. Revenue for the first quarter was approximately $33.5 million, representing approximately a 7% increase over revenue of approximately $31.2 million for the same period last year. This increase was driven primarily by market appreciation and net client inflows in discretionary AUM. Expenses for the first quarter were $18.1 million representing approximately a 29% decrease from expenses of $25.5 million for the same period last year. This decrease was primarily attributable to a decrease in G&A expenses of $8.5 million partially offset by an increase in compensation expense of $1 million.  Compensation and benefits expense increased by $1 million or approximately 6% to $18.7 million for the first quarter this year, from $17.6 million for the three months ended March 31st of last year. The increase is primarily attributable to an increase in the accrual for bonuses and benefits expense and salaries expense, primarily as a result of merit-based increases and newly hired staff, partially offset by a decrease in equity-based compensation expense due to a decrease in the number of unvested restricted stock units and unvested non-qualified stock options outstanding. General and administrative expenses decreased by $8.5 million to negative $0.6 million for the three months ended March 31st of this year from $7.9 million for the three months ended March 31st of 2021. This was primarily attributable to decreases in the fair value adjustment to the contingent consideration related to the Cortina acquisition of $8.8 million and occupancy and related costs, partially offset by increases in travel and entertainment expense, portfolio and systems expense, and sub-advisory and referral fee expense. Reported consolidated net income was $12.4 million for the quarter as compared to $4.3 million in the same period last year. Reported net income attributable to Silvercrest or to Class A shareholders for the first quarter of this year was approximately $7.6 million or 77% per basic and diluted Class A share.  Adjusted EBITDA, which we define as EBITDA without giving effect to equity based compensation expense and non-core, non-recurring items was approximately $10.3 million or 30.6% of revenue for the quarter, compared to $9.7 million or 30.9% of revenue for the same period last year. Adjusted net income, which we define as net income without giving effect to non-core, non-recurring items and income tax expense, assuming a corporate rate of 26% was approximately $6.7 million for the quarter or $0.46 and $0.45 for adjusted basic and diluted earnings per share respectively. Adjusted earnings per share is equal to adjusted net income divided by the actual Class A and Class B shares outstanding as of the end of the reporting period for basic adjusted EPS. And to the extent dilutive, we add unvested restricted stock units and non-qualified stock options to the total shares outstanding to compute diluted adjusted EPS. Quickly looking at the balance sheet, total assets were approximately $197.9 million as of March 31st of this year, compared to $229.3 million as of the end of 2021. Cash and cash equivalents were approximately $57 million in March 31st of this year, compared to $85.7 million at the end of 2021. Total borrowings as of March 31st of this year were $8.1 million and total Class A stockholders’ equity was approximately $86.3 million at March 31st of this year. That concludes my remarks. I'll turn it over to Rick for Q&A.
Richard R. Hough III : Thanks very much, Scott. We're welcoming questions at this time. Thanks.
Operator: Thank you. We will now begin the question-and-answer session.  And the first question will come from Sumeet Mody with Piper Sandler, please go ahead.
Sumeet Mody: Thanks. Morning. Rick, Scott, hope for both doing well. Wanted to start with your thoughts maybe around what you're seeing from your wealth management institutional clients through the volatile first four months of the year, we didn't see a material shift out flows in the quarter which was nice, but any update around what you're seeing, around demand for certain strategies, particularly growth. And are there any areas you think Silvercrest does particularly well during these types of more prolonged downturn, maybe contrasted against what we saw in the beginning of the pandemic in 2020?
Richard R. Hough III : Sure. I'll try to keep my remarks a bit short only because it's a bit open-ended question. You can follow up if you want. I appreciate it. Two questions there. In terms of what we're seeing, with regards to the flows, number 1, that you see, was pretty muted, which is the board I used in my introduction. Considering the volatility and the fact that we're headed into tax season, it was a pretty good quarter actually. But the flows overall, as you saw were muted, this quarter was basically entirely driven by the markets. I would point out that existing net flows for the quarter were just about $163 million out of the firm. Very small number compared to our base. However, it hides a surprisingly strong inflow from some new clients. We had a good quarter doing dollars of inflows into our institutional business. We had a fair bit of new flows in for our high net worth business. And just to give you an idea, just to get a bit of detail here, while it was negative, $162 million, again, just kind of a very small rounding error when it comes to our AUM, that left the firm. There were only five clients that were effectively responsible for close to $400 million dollars of net outflows this quarter. Re-balancing some preparation for taxes, a few other things. So the muted overall flows in terms of history was hiding some really good news underneath the hood, we grew our number of relationships as well. So I'm pretty pleased with all that, especially given the volatility in the markets. In terms of demand in our capabilities. On the institutional side that's just going to be very client-specific in terms of what pieces of their asset allocation they're looking to fill. I can't say there's been some significant shift in the marketplace over this short period of time. The performance in our growth equity strategies has been very good and continues to be, despite, I think the very well publicized volatility, in particular on the growth side of the market.  No matter where you're looking, it's clearly in a bear market in certain sectors are areas it's been on the decline for a good year. and our team has done extremely well. So that's going to help us clearly as we try to grow that business. Of the value side had some relative performance challenges. But as you noted in your note, recently, our performance remains quite strong, and it is in periods of like this that we often pick up a lot of good relative performance. It is in periods like this that we serve our client's extremely well, whether that's on the institutional or high net worth side. They are hiring us to be a really steady hand on the tiller and to guide them through volatility like this. In this firm, over 20 years has been through significant periods of volatility, and not to mention the global financial crisis. And it's really when we have the opportunity to shine and where are stable focused on high-quality portfolios and the fundamental attributes of the businesses we invest in really shine.  In other ways, I think this firm can benefit because we may be seeing a conclusion to the kind of easy money that has led to a tremendous amount of speculative kind of investing. Where frankly the market in the number of asset classes look like it casino and people chasing the latest shiny object. Putting an end to that and hopefully not abruptly because that can have other economic consequences, but putting an end to that quite frankly is going to be very constructive for firms like ours, whether you're talking about our investment capabilities or frankly you're talking about the ability of this firm to make use of capital in a competitive way and at a high return on equity for our shareholders. So to -- I wanted to be shorter in this comment, but it was just such a big question and I have to address different aspects of it. So if you want to follow up on anything, that's a very general comment about how I see things.
Sumeet Mody: No, I appreciate it. That's exactly what I was looking for. Thanks, Rick. So just wanted to shift over to index inclusions. Is that something you guys are focused on in the future here? Are you thinking about any structural elements you can address, like dual-share class that help you get included in future indices? Or is that something that you're just focused on today?
Richard R. Hough III : Yes, it's not something I'm focused on. I think I've been really clear. My job is to execute a long-term strategy and continually, organically growing this business. And frankly, I don't get too caught up in doing a lot of mechanics to massage either the stock or where we look in terms of indexes and the rest. It looks like we'll be in the index according to the estimates, which is great. We've been in it before, it'll be good to be back. What really happened and what you saw in connection to my last comment, you saw a lot of companies that had zero revenue, SPACs, very speculative investments that were running away up in valuation with nothing to show for it. That arrow put into the index and what you saw fall out were a lot of small companies, especially financials. We've seen a reversion. We've seen a rotation towards value, which the biggest component of which is financial. We've seen a rotation towards companies with real cash flow, healthy balance sheets, which of course we're one of. And we've seen a deflation of those more speculative investments we're going to come back in on our own merits. So no, we're not doing anything, but obviously it's a good thing to go back into the index.
Sumeet Mody: Great. Thanks. And just last one for me here. Just Cortina, obviously, has been performing really well since that deal was closed and considered a great contributor. Just wondering how conversations are going with potential M&A targets today. Can you talk about how pricing looks for the opportunities you're gauging with that maybe you think fit well with Silvercrest? And then secondly, how those private valuations are being impacted today, is it similar to what we're seeing on the public side or does it still not flow-through yet?
Richard R. Hough III : You would think that there would be a connection between very large markets that are mark-to-market on a regular basis and what's happening in the private markets. It's a little too soon to say that I'm seeing an effect. However, I think it's notable that it looks like that there are some significant players on the private side who look to be shopping some of their assets of which I didn't expect, looks to be. And if that's the case that says there's some players in the market who think that what they're holding now look a bit expensive, right? Obviously there's a buyer for every seller, so someone else thinks it doesn't. But I think it's too early to see where that's going to go. We have been in discussions and I will say that in the first quarter the things looked -- despite the underlying volatility of the quarter and a lot of it started happening closer to the end of the quarter, but things still look expensive. And so honestly this volatility, that's one of the things that was alluding to may lead to that. I think it's healthy, I think there's just been a ton of fuel leading the speculation. And we have not had a sustained downturn or increase in interest rates of whenever we've hit these bumps on the road that have really tested that and pushed it. Maybe this is the time where that will happen. So stay tuned. That is an aspect where I think someone disciplined with their capital and looking to be highly accretive to shareholders could benefit if it is sustained. And of course, I would include this firm among them. Number 2, with regards to asset management acquisitions, I think I've said before certainly in other forms, we're not really on the hunt for other institutional capabilities or asset management firms. The Cortina people were really special with a capability that we strongly desire, but we're not seeking to do every possible strategy. We want to do the core strategies extremely well. We have them at this point. Our job now is to organically grow the capabilities we have. That is job number 1. It's not looking to grow this company with more capabilities at this time. So any M&A is going to most likely be strategic, in the high net worth space, in key cities or client bases that are in cultures that are compatible with this firm.
Sumeet Mody: Great, thanks for taking my questions, Rick.
Richard R. Hough III : My pleasure. I'm sorry . Scott and I both have analogy of some sort this morning.
Operator: The next question will come from Sandy Mehta with Evaluate Research. Please go ahead.
Sandy Mehta: Yes. Good morning, Rick and Scott. Can you give us an update on the OCI assets AUM and also, I was wondering if you have a number for your actionable pipeline?
Richard R. Hough III : Good morning, Sandy. Thanks. The OCIO is -- come down in AUM entirely as a result of markets. So it's just under a billion dollars right now, or about a billion. No news there other than market exposure as you would expect and as seen with regards to this quarter. That's the news, really. In terms of the pipeline for that business, it remains nice and strong. It's close to $600 million, and that's a nice conservative number. I think we're going to do quite well over the next quarter. One thing to keep in mind, I think is that the volatility in the markets really highlights for fiduciaries, that is board members running investment committees, what guidance and help they really need to navigate. When everything is running up in the environment that we've had for sustained period of time, it makes the job look easy. So this is another reason to welcome this disruption that we're seeing right now. It's why in my opening comments I referred to the fact that the uncertainty creates long-term opportunities that typically benefit the high quality of this firm. It's specifically because it is now when people start to realize maybe they need more help than they otherwise would have thought. And that really affects the dynamics I would say if an investment committee sitting on the board of an endowment or foundation. So I'm quite optimistic about what we're going to do without pipeline and the conversations we're having. On the institutional equity side, the pipeline is a little smaller. I think I reported close to $1.8 billion dollars last quarter or may just been shy of that. And we're right around $1.6 billion dollars on the actual pipeline. And for those who don't tune in regularly, that pipeline is invite only RFPs, semi-finals and finals. So it's a very strong concrete pipeline that we can measure with confidence and it has a pretty high realization rate. We win a significant portion of the pipeline and the pipeline coming down from $1.8 billion to $1.6 billion is a good example of that, it's largely because we have wins. So during the quarter, as I said, underlying those kind of muted net flows, and frankly very good with regards to close to count this quarter we're excellent, it was very small. Underlying that was with some significant inflows since the institutional business. So the pipeline just reflects that, it remains very strong, I'm very happy about it.
Sandy Mehta: Okay. And Silvercrest stock is up 25% year-to-date, while the  is down nearly 20%. Any updated thoughts on the buyback? At least in my view, the stock is still very undervalued. What are your thoughts currently on the buybacks?
Richard R. Hough III : Look, we're strongly in favor of buying back our company as I've said. It's been difficult primarily because of volume limitations. We have not revealed or talked about what our pricing strategy is around, or our stock. We would just going to let our results speak for themselves. It's really nice to see investors realize the value in this company. And part of this has to do with the rotation towards companies that are so stable, able to deliver over the long-term, have strong cash flows, a conservative balance sheet, etc. And given the M&A market and what I had to say about it earlier, and it's relative expense and cost, if we were to engage in some of the prices that are in the marketplace, I just don't think it's a good use of capital. So we're going to buy back what I think is the best firm in our business, which is Silvercrest. But I have nothing more to say about the relative price versus the market, or our fundamentals.
Sandy Mehta: And one last question. You mentioned the growth strategies did remarkably well even in this down-market. So,
Richard R. Hough III : Yes.
Sandy Mehta: -- very strong numbers in up and down markets. Can you talk specifically about what flows you're seeing in that? And the underlying stocks tend to have a lot more liquidity, you use growth stocks versus say, value stocks. So is there potential for more flows there, perhaps a new product? Anything specifically on Cortina, please. Thank you.
Richard R. Hough III : Sure. So on the product side, we are incubating multi-cap growth and large-cap growth. And those are important asset classes for our high net worth group. We have a super talented team. We have and will expand the intellectual capital in Milwaukee to support those capabilities, the flagship products there, opportunity in small-cap growth with the strong relative performance that you referenced, and just have a tremendous opportunity. They should really stick out compared to what's happening in small-cap technology and other small-cap issues. I mentioned, obviously, technology in particular because the great volatility there. And the pipeline there is pretty strong. It's part of the total institutional pipeline I gave you. I usually don't break it out. I'm happy to do so right now. I think that's close to $400 million. And for very niche products and capabilities, I think that's good. I think one thing we have to get over is for the marketplace to be more aware of those capabilities. We're constantly in touch with consultants and working to introduce that for the long-term. I also think that given the volatility in technology and small-cap issues, there were a lot of institutional investors and others amidst what's going on right now that have a bit of a wait-and-see attitude only because they may be a bit shy of the asset class given what's occurred and what's happening to the other capital in there asset class. But I think this is going to shake out really well in our favor behind a pretty good pipeline.
Sandy Mehta: Great. Thank you so much.
Richard R. Hough III : You're welcome Sandy.
Operator: The next question will come from Christopher Marinac with Janney Montgomery, Scott, please go ahead.
Christopher Marinac: Hey, thanks. Good morning, Rick and Scott. Can you just remind us on the lag of revenues as you go quarter-to-quarter, and do you see anything shifting on the EBITDA margin as a result of that?
Richard R. Hough III : So I'm not sure what you mean by the lag of revenues because most of our revenue is billed quarterly in advance. The stub period revenue or things that we might do in arrears at the end of quarter are due to new flows into the business, so that's the major lag I can think of. Most of it is quarterly in advance, which is nice, it gives everyone a lot of visibility into what's going to happen and helps us manage the business. But you can respond in a second, if I didn't address your question. With regards to EBITDA, this is as I noted, in my introductory remarks being over 30% of EBITDA is still pretty historically high for the firm. I'm just a normal quarter basis that is to say a quarter that doesn't have performance fees, which we crystallized at the end of the year, it can always bump up significantly as we did last year. I've said this before, I'll say it again. We want to invest in the business, we want to hire new intellectual capital and portfolio managers to organically grow the business. When I do that, there is a lag towards new revenue, that's the other form of lag you get as people build businesses at this firm, and that can hit EBITDA. We've made those hires over the past two, three, four years. It's just that we've been able to grow faster than we've been making the investments, which is great. We're going to continue to try to do that. It may become more apparent when I do those hires and spend that capital on growing this business organically on EBITDA during volatile markets, but hasn't come to pass yet. But I think you can expect us not to be consistently this high, I said that repeatedly. It's just nice that we are. The other lag that's possible and again, please respond after I'm done, is flows into our growth strategies in Milwaukee. The billing there does tend to be more in arrears. It's just smaller compared to the size of the entire firm.
Scott A. Gerard: Right, Chris, also with great performance in Milwaukee, certainly the hope and expectation is that you will end up with additional flows. But again, those types of flows will lag performance and challenging to predict when those may come in.
Christopher Marinac: All right, great. I think you've addressed by revenue questions. Thank you for that. From the standpoint, some of the global dislocations, do you think you'll see some benefit from that as future core play out? I know, Rick, you touched on that a little bit on your earlier remarks.
Richard R. Hough III : Yes, I do. Some of it is -- one part is just the fundamental strength of this firm, not just its people, culture, intellectual capital, but the how we manage this business. That's Number 1. Number 2, just to go back to some of my earlier comments, people in this disruption recognize they may need help. It doesn't look easy to do it yourself anymore, and that's even heightened for people who are fiduciaries on investment committees, but large families have the same this year, we're going to benefit from that. Third, the way we manage money, benefits from this kind of market, we're going to stand out. We have picked up some really good relative performance in this market. Fourth, it may not be the disruption you mean, however, at capitals global and the U.S. dollar use markets, U.S. economy still stands out even in difficult times, even if we go into recession, we're going to be the cleanest shirt in the dirty laundry basket. And I can tell you we are seeing opportunities in Europe that I have not seen in some time. We have significant, very significant European relationships already.  We have sub-advisory relationships that are quite strong and we're seeing really good regular inflows that are only picking up. And that was happening during the pandemic when we couldn't even go to Europe. But some of these other disruptions, whether you're talking about economy or you're talking about war, we're seeing more and more interest from foreign capital interested in the U.S. and interested in the work that firms like ours do. So that is an opportunity. It's something that's real that I'm seeing and I'm optimistic about.
Christopher Marinac: Great, Rick. Thank you very much for the insight this morning.
Richard R. Hough III : You're very welcome. Thanks. Always good to hear from you, Chris.
Operator: The next question will come from Christopher Sakai with Singular Research. Please go ahead.
Christopher Sakai: Good morning.
Richard R. Hough III : Good morning.
Christopher Sakai: Can you talk about new hires and how that's looking in the volatile market?
Richard R. Hough III : So I'm always looking for great talent. The challenge there is someone who is going to fit into this great culture, is going to have the right way to manage money that fits with our philosophy, who has the ability to bring assets and clients, at the end of the day, that's our business, and has a long-term perspective in terms of a place of work. And we've been really successful at doing that when we do as well as building the next-generation here. We made meaningful investments in people to bring up the next-generation, we're working very hard on our third-generation. Not surprisingly, given our 20th anniversary that I just mentioned in my opening remarks, it's really important to the firm and the sustainability of our strategy. It's hard to do, and we want the people we hired to succeed before we do fight off too much. And so we did a fair bit of hiring going into the pandemic and we've done a bit during, those folks are doing really well. But it's -- this business takes a long time to succeed, and it takes a long time. There's a long apprenticeship to building up your next-generation of whom have become partners in recent years. I'm becoming more aggressive on hiring and what we might be able to do with hiring because, as I mentioned earlier, of the expense in the M&A market. But the people I'm hiring are fiduciaries. They're not -- they don't tend to be brokers, which is a very different market, very different business from ours. And so it's going to be very deliberate as we do that. But I have not made significant high level hires in recent months. But I'm on the look out. And that had something to do with my comments that I made about our EBITDA margin, which I've made regularly over the past few years. As I mentioned earlier, we've just been able to grow faster than the expense of the compensation.
Christopher Sakai: Great. And then can we talk about your dividend, and when or would you see an increase there?
Richard R. Hough III : Well, I've never given any future guidance of any kind really, other than to give color around our pipelines and how we feel about the environment of the business generally, in the context of our four-pronged strategy, which we talked about a fair bit. So I'm not going to speculate on that. I will say that just to state our basic policy, we think it's very important to return capital to shareholders on a very regular basis and on a meaningful basis, given the size of the company in the markets. We want to reward shareholders on a regular basis for holding this stock and return capital on that form, amongst other things that we're doing. So it's an important component. The yield is an important component, that distribution. And we have a policy, if we can afford to do so, of increasing it on a regular basis, which if you look at the  of this firm, we have done on a very regular basis.  It has been an important part of the compounding return to our shareholders and we continue to believe that. We do not have a yield target per se, it's more about making sure that we're doing it at a meaningful level. You can interpret that as you wish. And that we have the cash, both in the C-Corp and from the business, to sustain whatever dividend we put in place for a prolonged period of time despite market disruptions. We want to avoid cutting it, if we can, and we're in very solid positioned to sustain where we are. But that said, the company is doing really well and we have increases on a regular basis. So we'll see what happens in future quarters. But that's about as much as I can say about it.
Scott A. Gerard: Chris, just for your reference, we last increase the dividend latter part of last year, just to remind you of that.
Christopher Sakai: Great. Thanks for that.
Scott A. Gerard: You're welcome.
Operator:  This concludes our question and answer session. I will like to turn the conference back over to Mr. Richard R. Hough III for any closing remark. Please go ahead, sir.
Richard R. Hough III : Great. Thank you so much for joining us for the -- our first quarter results. Really appreciate the good questions this morning. As I mentioned, despite volatile markets and global news and the economy, I'm very pleased where we stand as a company. Our progress looks good. The opportunities are strong. I just want to reiterate, it's environments like this where Silvercrest can shine. We may have to take a step back or two, that's normal in this business. I don't view the past quarter as a step back. That's just -- you're just looking at the market. This is normal stuff. Whatever it may be economically or in the markets, this firm is well poised to continue executing our strategy on behalf of our clients, as well as shareholders. And it's frankly something that has some side benefits that we welcome over the long-term. So thanks very much for tuning in and look forward to talking to you next quarter. Thanks.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.